Operator: Good day, and welcome to the Qorvo, Inc. Q3 2021 Conference Call. Today's conference is being recorded. At this time, I'd like to turn the conference over to Douglas DeLieto, Vice President of Investor Relations. Please, go ahead.
Douglas DeLieto: Thanks, James. Thanks very much, everybody. Welcome to Qorvo's fiscal 2021 third quarter earnings conference call. This call will include forward-looking statements that involve risk factors that could cause our actual results to differ materially from management's current expectations. We encourage you to review the Safe Harbor statement contained in the earnings release published today, as well as the risk factors associated with our business in our Annual Report on Form 10-K filed with the SEC, because these risk factors may affect our operations and financial results. In today's release and on today's call, we provide both GAAP and non-GAAP financial results. We provide this supplemental information to enable investors to perform additional comparisons of operating results and to analyze financial performance without the impact of certain non-cash expenses or other items that may obscure trends in our underlying performance. During our call, our comments and comparisons to income statement items will be based primarily on non-GAAP results. For a complete reconciliation of GAAP to non-GAAP financial measures, please refer to our earnings release issued earlier today available on our website at qorvo.com under Investors. Joining us today are Bob Bruggeworth, President and CEO; Mark Murphy, Chief Financial Officer; James Klein, President of Qorvo's Infrastructure and Defense Products Group; and Eric Creviston, President of Qorvo's Mobile Products Group, as well as other members of Qorvo's management team. And with that, I'll turn the call over to Bob.
Bob Bruggeworth: Thank you, Doug, and thanks to everyone for joining our call. Qorvo exceeded our third fiscal quarter guidance on revenue, gross margin and EPS. Our performance was supported by multi-year technology upgrade cycles and was broad-based across markets and customers. The Qorvo team is executing very well and we are pleased with our operating performance. The growth drivers in Qorvo's markets are supported by durable long-term trends. In smartphones, 5G units are set to approximately double year-over-year. 5G also presents opportunities beyond smartphones, with advanced network capabilities for more data, lower latency and machine-to-machine communications. We expect our technologies will be increasingly critical to cloud gaming, connected car, industrial IoT, remote medicine, smart homes and other growth categories. In Wi-Fi, we are early in the rollout of Wi-Fi 6 and industry analysts expect rapid adoption to continue. Our next-generation front-end modules and BAW-based filtering products are optimized for higher frequency and wider bandwidths of Wi-Fi 6 and 6E, enabling faster upload and download speeds, increasing capacity and improving efficiency. Across our markets, complexity is increasing as functionality is added within shrinking form factors, while more demanding next-generation specifications must be met. This is favoring higher performance, more densely integrated system solutions from proven suppliers with large-scale manufacturing expertise. Take, for example, the migration to dual-transmit architectures beginning in the premium tier of smartphones for 5G. Dual-transmit architectures require integrated transmit and receive filtering in the traditional receive-only diversity path. This requires better performing, more functionally dense solutions, making high-performance BAW multiplexing a proven differentiator. Industry analysts estimate there were over 250 million 5G phones sold in 2020. For 2021, we forecast approximately 500 million 5G phones. Within these phones, the front-end content is increasing $5 to $7 versus 4G, including in the mid-tier, where content can approximately double. The addition of 5G is driving a shift from discrete products to higher-value content, including our highly integrated solutions. For the 5G reference designs ramping now, Qorvo was the first to integrate filters, switching, power amps, LNAs and CMOS control in fully shielded compact solutions. In doing so, we address customer size, performance and time-to-market challenges. Demand has been strong for these complete main path solutions, and customers are increasingly sourcing all three, including the low, mid-high and ultra-high band placements. When combined with our PMICs, tuners, antennaplexers and dual connectivity modules, Qorvo offers customers a compact front-end solution with minimal placements delivering world-class performance. As a result, we enjoy increasingly collaborative relationships with our customers. During the quarter, we were recognized by two leading Android manufacturers with highly selective annual awards. Qorvo was the sole RF supplier to win vivo's Excellent Quality Award for 2020. And we were the sole electronics supplier to win OPPO's esteemed Joint Development Award. We're extremely proud of both honors. As I referenced earlier, during the quarter, we increased shipments of our complete main path solutions across the leading 5G basebands. We also secured new design wins for our next-generation complete main path solutions in support of upcoming Android 5G launches. For the diversity path, we launched our first generation of dual connectivity module for the mid- and high bands and commenced shipments to the leading Android smartphone manufacturer. We also released a next-generation BAW process, which reduces insertion loss, increases bandwidth in ultra-high band and Wi-Fi 6E applications. In mobile Wi-Fi, we began production shipments of our Wi-Fi 6E solutions to top Android OEMs, increasing capacity and lowering latency in a range of smartphones and mobile devices. In Ultra-Wideband, we extended our capabilities to include open, fully supported system solutions, enabling ultra-precision location applications in mobile, IoT and automotive markets. During the quarter, we increased our Ultra-Wideband customer engagements in a broadening range of consumer applications, including tracker tags, smart speakers, smart TVs and other smart home appliances. Customers and channel partners are evaluating a broad range of applications, and we continue to believe Ultra-Wideband adoption in smartphones will be the catalyst for a growing ecosystem of connected devices. We see Ultra-Wideband proliferating quickly and representing an exciting opportunity for Qorvo. In IDP, we're very proud to have been selected by the National Institutes of Health for its Rapid Acceleration of Diagnostics initiative, or RADx, to add COVID-19 testing capacity. In this program, we will use our Omnia test platform, a complete test solution enabled by Qorvo's high-frequency BAW. This platform is currently pending Emergency Use Authorization from the Food and Drug Administration. Qorvo's antigen testing has demonstrated high levels of sensitivity and specificity in clinical studies. That means it's capable of producing accurate results with very low levels of false readings. We believe this BAW sensor technology may be able to deliver a new approach to diagnostic testing, ultimately providing central lab testing accuracy at the point of care. Elsewhere in IDP, we continue to support a broad range of multiyear trends, including 5G, Wi-Fi 6 and 6E, GaN defense, radar and comms, programmable power management, C-V2X, automotive Wi-Fi and ultra-wideband. Our team has done an outstanding job developing products and ramping production to support initial 5G base station deployments in Asia. Today, we are in the early stages of multiyear rollouts and we have strong momentum as 5G continues to deploy. We've been selected by multiple OEMs to supply GaN PAs in addition to our small signal components and modules, and we see the focus on power consumption, bandwidth and higher frequencies supporting the continued migration to GaN PAs. During the quarter, Qorvo secured design wins with multiple base station OEMs to support 5GC band in the U.S., for which the spectrum auctions are in the process and initial deployments are expected later this year. We also received the Best Comprehensive Performance Award from ZTE, recognizing our 5G portfolio and customer support during the initial rollout of 5G base stations. In defense, we achieved strong growth in domestic radar and communications applications and game defense products for international radar programs. In connectivity, we ramped shipments of our 5-gigahertz Wi-Fi 6 BAW filters and sampled our 6-gigahertz Wi-Fi 6E front-end modules for routers and gateways, maximizing throughput and range for high-bandwidth applications such as video conferencing and online gaming. Demand for our Wi-Fi 6 solutions has been strong across MSOs and retail segments. And we see continued strength as Wi-Fi 6 deployments are still in the early phases. In the connected car, we were selected to supply 5G LTE, C-V2X and Wi-Fi automotive qualified products to multiple OEMs, including Audi, BMW and Volvo. In low-power wireless, Qorvo was selected to supply the leading television manufacturer our low-power multiprotocol SoC and custom software, enabling a solar charging remote control. Before handing the call over to Mark, I want to say a word about Qorvo's workforce. The team delivered an outstanding performance in the December quarter. They adapted quickly in a dynamic environment and helped support exceptional results. I'm extremely proud of their responsiveness and dedication to our customers' success. As 5G, Wi-Fi 6 and 6E, ultra-wideband and other connectivity protocols are rolled out globally, Qorvo is well-positioned to delight customers and expand our technology reach. And with that, I'll hand the call over to Mark.
Mark Murphy: Thanks, Bob, and good afternoon, everyone. Qorvo's revenue for the fiscal 2021 third quarter was $1.095 billion, $35 million above the midpoint of our guidance, up 26% or $226 million versus last year and up approximately 11% sequentially, adjusting for the 14-week September quarter. As a reminder, our fiscal year 2021 is a 53-week fiscal year, and the September quarter was a 14-week quarter versus a typical 13-week quarter. In the December quarter, mobile products drove the sequential growth, with revenue of $826 million on seasonal demand effects and the ramp of higher content 5G smartphones. Infrastructure and Defense Products revenue of $269 million was up 30% versus last year on robust Wi-Fi demand and double-digit growth from defense, programmable power management and IoT markets. Non-GAAP gross margin in the third quarter was 54.4%, which was above our guidance due to better-than-expected volumes, price and mix and lower-than-expected manufacturing and inventory costs. The combination of strong end market demand and our ongoing efforts to improve the portfolio drive productivity and carefully manage inventories yielded record results. Non-GAAP operating expenses in the third quarter were better than expected at $194 million and 17.7% of sales, largely due to timing on development programs. As a result, we forecast OpEx to pick up in the March quarter to levels previously guided. Non-GAAP net income in the third quarter was $357 million and diluted earnings per share of $3.08 was $0.43 above the midpoint of our guidance. Cash flow from operations in the third quarter was $404 million and CapEx was $36 million, yielding free cash flow of $368 million and free cash flow margin of 33.6%. We repurchased $160 million of shares during the quarter. As discussed on the last earnings call, we retired our 2026 notes during the quarter. We also called the remaining 2025 notes. We ended the quarter with $1.7 billion of debt and $1.2 billion of cash. Our leverage remains low, our revolver is untapped. The weighted average maturity of our debt is late 2029 and we have no material near-term maturities. With our financial flexibility, we can focus on developing technology, supporting customers and making prudent organic and inorganic investments that support long-term earnings and free cash flow growth. To that end, we continue to advance our BAW, SAW, GaN, GaAs, packaging and other core technologies and fund UWB, programmable power management, biotechnologies, MEMS and other promising areas. Turning to our current quarter outlook. We expect revenue between $1.025 billion and $1.055 billion, non-GAAP gross margin of 50.5% to 51% and non-GAAP diluted earnings per share of $2.42 at the midpoint of guidance. Our March quarter outlook reflects sustained broad customer demand stemming from multiyear technology upgrade cycles. In mobile, demand for 5G is adding RF complexity and driving higher content. The breadth of our customer base and firm demand signals provide confidence and stability in our outlook. We forecast mobile revenue in the current quarter to be approximately $770 million at the midpoint or up over 35% year-over-year. In IDP, we project revenue of approximately $270 million in the current quarter, sustaining strong double-digit growth driven by Wi-Fi 6 demand and other markets, even as 5G infrastructure build-outs remain uneven. Our March quarter gross margin guide is in line with the gross margin outlook discussed on our last earnings call and up over 100 basis points year-over-year at the midpoint. Non-GAAP operating expenses are projected to increase in the March quarter to around $207 million. At the midpoint of our March quarter guidance, operating margin is forecasted to be over 30.5% for the third consecutive quarter. Our operating margin outlook for the year is 31.5% at the midpoint, clearing the lower end of the margin model we laid out previously. Qorvo was built for the integration of advanced technology trends critical to customer success in 5G and other growth markets. With broad and robust end market growth, we're now leveraging a more focused footprint. Our product portfolio is better matched to customer needs and our culture of continuous improvement is thriving. We project our current quarter and full year non-GAAP tax rate to be below 7.9%, with our year-to-date earnings and March quarter EPS guide, our fiscal 2021 EPS estimate is over $9.40 per share at the midpoint or up nearly 50% year-over-year. Capital expenditures will step up in the March quarter as we work to intersect near-term demand and support long-term supply agreements with multiple customers. We still forecast CapEx to remain below $200 million or less than 5% of sales in fiscal 2021. Currently, we project free cash flow of approximately $1 billion this fiscal year. As the December quarter results and our March quarter outlook show, Qorvo continues to operate well through a challenging period while delivering premium technology to a broad spectrum of customers in 5G, Wi-Fi, IoT, defense and other growth markets. In closing, I'd like to join Bob in thanking Qorvo employees again for their continued efforts during this time. Now I'll turn the call back over to the operator for questions.
Operator: Thank you. [Operator Instructions] And we'll take our first question today from Gary Mobley with Wells Fargo Securities.
Gary Mobley: Hey guys. Thanks for taking my question, and congrats on a strong quarter and outlook. I wanted to first point out your strong relative performance to the rest of the smartphone market in your mobile business, calling out what appears to be 11% to 12% growth in that business for calendar year 2020 even after adjusting out for the extra week. And, of course, I think it's a backdrop of a declining smartphone market. So my question is, to what extent was that driven by 5G content growth? To what extent is driven by overall market share? And how does -- how do those variables impact your outlook relative to the smartphone market in calendar year 2021?
Bob Bruggeworth: Thanks, Gary. That's a good question. I'll go ahead and let Eric address that. Thank you for your compliments.
Eric Creviston: Sure, yes. As Mark had said in his opening comments, Qorvo was built for 5G. I think the complexity of the RF front-end and the new handsets is driving a need for integration, which just naturally drives towards our strengths, given that we have all the leading technologies in-house. And I think the team has done a really good job of bringing the right technologies to maturity in time and then integrating very well and building the right relationships with all of our customers to help them achieve their goals with what they're trying to do with their products as well. So it's coming together really well. We've got the tailwinds of the content growth. And it's not, by any means, over. As you know, we're in the very early innings. And we've got new generations of virtually all of our technologies coming out throughout this year to get even stronger as we enter next year.
Gary Mobley: Okay. I had a follow-up question for Mark. Hopefully, at some point in this calendar year, we'll all be resuming our normal activities in traveling for work and whatnot. And with that in mind, how should we think about your OpEx progression when we start moving more freely? And in what ways have you benefited? In what ways might have step up at some point?
Mark Murphy: Yes, Gary. We've, obviously, incurred some additional costs. There are some inefficiencies as everyone is experiencing. But as you know, everyone is also benefiting from less travel, which can be material. So a lot of it washes out. I think as we look forward and as we've talked about over the years, we're going to continue to work to get the best operating leverage we can. And we're running at about 20% of sales OpEx for a year. We would expect next year to be at that -- those levels and maybe slightly below. We're never going to be the lowest OpEx company in the space because as you heard, we're -- the DNA of this company is innovation, so we're going to likely be several points higher than what I would call best-in-class as it relates to just costs. So I think that's what you can look forward to as we go forward on an annual basis.
Operator: Next, we'll hear from Craig Hettenbach with Morgan Stanley.
Craig Hettenbach: Yes, thank you. I just had a question on the smartphone market overall that Mark, you made a comment about firm demand signals. We know broadly, capacity has been pretty tight. And so just what are some of the things you're looking at in terms of monitoring those demand signals? And how much also does the step-up in 5G kind of help in driving that growth?
Mark Murphy: Yes. Craig, maybe I'll start. We've got very -- as I mentioned, very firm demand signals. Pricing is a bit firmer than normal as a result. And we see -- out to the June quarter, I'd say, we're pretty confident. And we'll see how demand shakes out post Chinese New Year. But demand signals are strong and the channel's very healthy. And as you can see, our inventory levels are very good. We spend a lot of time -- fortunately for us, we've got a very broad customer base. So -- and given our position in the market, so we see the space across customers and products and -- have very good visibility. So it explains why very early last year, we called 250 million 5G handsets and that's about where the number ended up. Further, we not only use our rigorous internal assessments, but we use external views to balance that and we make the best call we can. We were about 3% off on this particular quarter, but we're generally close. And so, we feel good about the guide we have in the March quarter, 10.40. And then we would think that we'd be somewhere near 1 billion if markets hold up in the June quarter.
Craig Hettenbach: Got it. Appreciate that color. And then just as a follow-up, with Decawave on board for a few quarters now, I'd just love to get your thoughts in terms of how that acquisition is playing out. I know it's mostly design stage today. But relative to the reason to kind of buy that and the market opportunity, just what you're seeing. And what are some of the milestones to keep in mind for ultra-wideband as we go through the year?
Eric Creviston: This is Eric. I'll be happy to take that. We're thrilled so far with the integration of the team and the response from customers as well. It's playing out, at least as good, or better than we had hoped. They're the pioneers of the technology and just a fantastic organization for design and development. We're bringing the scale and the customer relationships to really take it to the top tier. So we've got -- and then of course, the acquisition of 7Hugs to give the entire software stack has been a huge addition as well that's helping us. So, all that's working really well. We're continuing to invest and hire more and critical resources that are enablers to cover all the opportunities. But one of the things that has happened since we closed the acquisition nearly a year ago now, is just much more interaction with the mobile handset providers. Of course, that's the channel that we bring. Everyone is looking to put this UWB into the next generations of handsets, so we're seeing the uptake we're expecting. And then a lot of people are lining up with devices that are going to talk to those handsets as well, right? So a lot of consumer electronics, smart home and so forth devices that we're talking to. And then the base of the revenue today is industrial IoT basically, and that's continuing to grow and perform at least as well as what we had expected. And then we'll have auto coming in on top of all of that, so we're engaged as well with all the leading auto manufacturers. So it's a lot. We've got a lot going on, but the design activity, the reception is strong and really, I think, adding the software stack to the equation just really takes it to another level in terms of what we're going to be able to do for the industry.
Operator: We'll now hear from Karl Ackerman with Cowen.
Karl Ackerman: Good afternoon, gentlemen. Thank you for taking my questions. I have two. First, just on gross margins. I understand that volumes are working against you in March but mix does not appear to be a factor. And so I guess, are there competitive factors at play or maybe other manufacturing costs that I'm not fully appreciating that is influencing your outlook?
Mark Murphy: Yes. So Karl, this is Mark. The outlook is basically on top of what I talked about last quarter. So we've become pretty good at being able to forecast where we're going to be. Now, I think we got to acknowledge that we missed by quite a margin this December quarter. So I think you need to understand that in order to understand the March quarter. So the March quarter really isn't a surprise where it's landing. It's more of the December quarter was much stronger than we expected. And we're really pleased about the December quarter. I want that to be clear. We've talked about our approach over the years and what we're striving to do about investing in technology, actively working the portfolio, driving productivity, exercising capital discipline. And the December quarter shows what's possible with the business. And it's years of hard work. It's just excellent execution by the team. And it's those things intersecting with favorable market conditions. So just about a lot went right in the December quarter and the result is that 54.4%. So volumes were stronger and more importantly, stronger than we expected and the outlook stayed strong, so that helps us sustain loadings and the associated fixed cost absorption. Spend control remains excellent, which is especially noteworthy, given the tough operating environment that our operations team has to work with. I mentioned earlier, the pricing environment is a bit, I guess, more favorable than normal. The market's tight. We're doing the best we can to serve customers and the time that they're expecting us to get them product. And then mix, we continue to move towards integrated modules and that's helping us greatly. And our particular advantage in mid, high-band and BAW-related integrated products is pulling in some other integrated modules into wins. So we're benefiting greatly there. And then we've got, of course, other highly differentiated products that are helping. And then there are another -- a number of other favorable items in the quarter, favorable yields. We had lower inventory charges than we expected and a number of other items. Again, generally, things went the right way. As we look forward to the March quarter, we do expect gross margin to drop to about where I said. We guided to 50.5% to 51% today. That's up 100 basis points year-over-year, which is what we've been striving to do is show margin expansion, but we're down sequentially due to a number of factors. We're trying to keep inventories low, so that will keep a check on absorption. We're ramping some lower margin products, so currently we're just still working down the cost curve on those. They're important longer term. But that -- some of those products are coming into the March quarter, and then that actually continues on into the June quarter. And there are some other mix dynamics as well, including some less defense in the March quarter and some other things. And then we just can't assume that all these other things go our way as they did in the December quarter. We had -- the pricing environment may probably turn to a more normal state. The inventories write-offs will probably be more normal and we've assumed that. So we feel good about the -- about what we did, comfortable with the guide we have and I'll leave it at that.
Karl Ackerman: Very helpful, Mark. For my follow-up, with results and an outlook this strong that you've just described, the elephant in the room is about sustainability, with some investors arguing that this is a peak. But I'm not asking you to discuss your peers, but it would be very helpful if you could share your perspective whether your order book is outstripping your ability to supply near-term? And then second, how you are managing the demand pull from multiple customers across multiple markets because as you described, there appear to be quite many of them across both smartphones and IDP with Wi-Fi 6. So if you could discuss those, that would be very helpful. Thank you.
Bob Bruggeworth: Karl, this is Bob. I'll do my best to answer your question because as usual, it's not as simple as what many people from externally believe when you're working in the business. Number one, yes, there is tightness in the supply chain. I think it's quite well-known in the industry that silicon is constrained, whether that's in the communications industry or automotive. So in many ways, that is a governor on what's going on in this situation. We've been very fortunate that our team has excellent relationships and agreements with our suppliers externally and feel pretty good about how we've done that. And I'm quite confident we left some revenue on the -- out there for us still to get. But Mark mentioned in his opening comments that we've been getting long-term agreements with our customers, so that they feel pretty confident in their demand. And when we do our market model, which Mark also talked about, and we feel we have a pretty good handle on the market based on our comments all the way through last year, that many people believed that it was not going to be turning out the way we projected in just the number of 5G handsets. So when we look at our market models, the orders we already have, the migration, as you've already commented on 5G more than doubling, looking in at Wi-Fi, looking at Wi-Fi 6, pod in every room, going from two streams to three streams, that being 2.45 for communicating to the client and then for the backhaul using a third stream, which adds a lot of content, if it's eight channels feeding it back to the main access point. So when we integrate all this and look at our customer orders, we feel pretty good about the commitments they're making to us. And I want to remind everyone, the sudden change at Huawei, who was not using best-in-class components. As you guys remember, we talked a lot about how that they've started to -- and rightfully so, because of the U.S. government tried to use local sources. While the people that are picking up their share are using best-in-class components, which is what we said Huawei would have done if it was available to them. So when we look at everything that's going on, as Mark said, we feel good. We can already comment on June, which he did. So I think as we lay out the year, we'll see how sell-throughs is in Chinese New Year and all those conditions in a pandemic and the vaccination, but we feel good about what we're communicating today, very good about it.
Operator: Toshiya Hari with Goldman Sachs has our next question.
Toshiya Hari: Good afternoon. Thanks for taking the question and congratulations on the strong results and the strong outlook.
Bob Bruggeworth: Thank you.
Toshiya Hari: Yes. Maybe first one for Eric. And I guess, Bob, you sort of kind of addressed this in your response to the prior question. But just curious, how are you guys thinking about seasonality in your mobile business? It's clearly a very odd year with supply constraints and new products being introduced later than usual and other moving parts. But to the extent you can comment, how are you thinking about -- I mean, March, obviously, you're thinking better than seasonal for your mobile business, but what about June and potentially September? And then I got a quick follow-up.
Eric Creviston: Right, right. Yes. As you pointed, the March seasonality clearly is muted from normal. And to Bob's point, it's really going to depend upon supply in the near term, not just our own, through our supply chain network but the rest of the bill of material that our customers have to get. So it's really going to be sort of a demand -- or excuse me, a supply limited climate, at least for the next few quarters. And then once things are fully opened up again, we're extremely bullish about the opportunity, of course, for 5G to take off. And so, that's why we still think even in the worst case, we'll see 5G double this year.
Toshiya Hari: Got it. Thank you. And then as my follow-up on gross margins, Mark, great job in December. To your point, you've got multiple moving parts, and I guess, margins can be very lumpy on a quarter-to-quarter basis. But when you think about calendar 2021 in its entirety or maybe fiscal 2022, I realize it's kind of early, but how are you thinking about gross margins? It’s pretty clear that structurally and through cycle, you're doing a lot better. But can we sort of extrapolate the trajectory that you've been on? Or are you sort of approaching peak-ish kind of levels as it relates to gross margins? Thank you.
Mark Murphy: Yes, Toshi. It's this time of year, because we're a March fiscal, we sort of get these calendar 2021 or calendar year fiscal -- next fiscal year question, so I appreciate that. And as you say, it's a bit early, so we expect to provide more details on our next earnings call, when we'll wrap up fiscal 2021 and start fiscal 2022. But maybe before I get into gross margin or margins overall, maybe just talk a little bit about fiscal 2022. As we sit here today, for the most part, demand's firm, as Bob and Eric have talked about. Our business is broad and you see that reflected in the December results, March quarter guide. And then we all know that the markets that we serve, 5G, Wi-Fi, defense, IoT, other markets, we obviously expect those to grow multi-year. We believe that Qorvo's technology and products and our ongoing customer engagement positions us really well in those markets. So we've talked about feeling very comfortable about the June quarter, as Eric just mentioned, kind of more of a supply constraint situation than demand constraints we see at this point. We're reasonably confident for a near $1 billion quarter. And again, we'll see what happens on the other side of Lunar New Year end keep watching the channels but keeping an eye on it. On the rest of the P&L, as you can imagine, while the rest of the year and certainly, the rest of the P&L, it's just a lot more difficult to give anything. We're in our planning cycle now. There's just a number of factors. What happens to the outlook, the effect on loadings and absorption, mix effects in the business yields, inventory, so forth. And then just on the OpEx side, investments we want to make in the future. So any number of factors are going to impact the results and we just need to finish the planning. We've given a March guide and we've given a June revenue guide or revenue indication, supply constrained. I think on the June quarter, we actually see margins going down a bit. We actually see the June quarter gross margin below 50%. We see operating margin below 30%. And again, that's price, mix, cost factors. But I would say for the year, we still expect, clearly, operating margins to be above 30%. We cleared that this year. We're committed to continue to work to expand operating margins. And I think we'll say that for this call and provide more detail on the next call.
Operator: Next, we'll hear from Edward Snyder with Charter Equity Research.
Edward Snyder: Thank you very much. Eric, you're shipping a lot of main path modules, tuners, I guess, some ET and a one-off received DRX. Are you in production on antennaplexers now? And when do you expect to be in productions on Transmit DRX? And secondarily, was the Transmit DRX part of your $5 to $7 TAM increase for 5G for yourself or for the industry? Or is it going to be incremental to those numbers? And if I could, James, it sounds like infrastructure is cooling again a bit. I'm particularly curious about the build-out. There's been a lot of feedback that China is slowing because they go to the rural areas, and the US has not quite picked up yet. Is that kind of the trend you're seeing here? And if so, do you anticipate when the US starts building out C-band? Are they going to be using a lot of GaN or do you think they'll -- GaN or MIMO actually and see if -- or will we expect to see kind of a little bit of a whole form? Thanks.
Eric Creviston: Okay. This is Eric. I'll go first. And we're actually in production already with both of the categories. You mentioned antennaplexers with multiple customers, and we expect, of course, that portfolio to continue to grow out. And we've got multiple generations of BAW in process right now to continue driving those over the next couple of years. And then the -- as you called it, TX DRX, it's what we call the dual connect modules. And we've referenced dual connect modules in some of our discussions. There's a marquee crane handset that's launched recently. You'll find we're providing the dual connect module capability there. So to your point, that's really exciting because it gets us into that diversity path, which typically has been RX-only. It's typically been SAW filters and heavily competitive. We've -- with this year, looking at multiple TX channels that warrants, you're looking at BAW filter content and the higher frequency range. So it's a really interesting new category that's emerging and we're happy to be leading off with it.
James Klein: Yes, this is James. Our base station business is on a pace to set all-time record for fiscal revenue for the year. So we'll be up about 60% full year over full year with the guide that we provided today. It was driven mainly by strength in deployments in Asia and the adoption of massive MIMO antennas where GaN has been selected many, many times over LDMOS. And, of course, we've been able to support many of the major frequency bands that have been rolled out in China. Looking ahead, I think you're pretty close. Deployments will slow during the first half of the calendar year, and then we expect those to start to accelerate in the second half. And additionally, with the C-band auctions nearly complete in the U.S., we do expect deployments to start later in the year, and we do expect those to include both massive MIMO antennas and GaN power amplifiers. And then, obviously, we're in the early stages of 5G deployment, and we expect those deployments to continue both in China and around the world as we go through the next several years.
Operator: We'll now hear from Harsh Kumar with Piper Sandler.
Harsh Kumar: Yes. Hey, guys, congratulations on a solid results, solid guide, so we appreciate the execution. There's been no normal in this year with respect to revenue and seasonality. But I think your guide for March is less seasonal than typical March. I was curious if you could point to the factors maybe relative to what you guys are assuming for China in March versus U.S. business? That was question number one. I had another one.
Bob Bruggeworth: Yes. Thanks, Harsh. I mean, typical seasonality, as you know, is the IDP business roughly flat. That's roughly what we guided. The mobile business seasonally down. We're not going to break it out in geographies or customers. But, obviously, our mobile business is not going to be off as much as normal. I think we do know the timing of marquee phones just maybe shifted a little bit from prior years, and then layering on top of that, the China business is doing well. And like we said in our comments already answering questions, we'll see how Chinese New Year goes. But that's the way I'd like to answer that.
Harsh Kumar: That's fair. And you guys, in your press release, had a comment on low band, mid-band, ultra-high band in Android and the wins you guys are seeing. I was curious if you could elaborate what, kind of, phones you're seeing this in, and if you expect this functionality to make it to mid-end 5G phones by some point in 2021 this year?
Eric Creviston: Yes. So Harsh, this is Eric. In fact, primarily, we are shipping these into 5G phones today. As 4G became more complex over the past couple of years, the move towards integration began to take off. And then when 5G emerged, there really was no looking back for our customers that are bringing out new high-performance handsets. So a lot of the main path, including ultra-high band, the low-band and the mid-high band, we're selling fully integrated modules, in many cases, all of them into the same handset to support the 5G ramps right now.
Operator: Our next question will come from Raji Gill with Needham & Company.
Raji Gill: Yes. Thanks and congrats as well on the great momentum. Just a question, again, on the infrastructure. You guys really had, kind of, strong dominance in GaN, base stations that have kind of been riding that wave. Wanted to get your update on GaN proliferation across the other base station vendors outside of, say, ZTE in China, what would the adoption rate is outside of that customer? And how do you think about the competitive landscape? It does appear that one of your other competitors on the LDMOS side are starting to ramp their GaN solution. I'm wondering how we think about those dynamics as we go into the second half of next -- of this year and going to next year as well.
James Klein: Yes. Thanks for the question, Raji. We -- this is James. We're definitely engaged across really all of the major OEMs and what most would consider even Tier 2 OEMs with GaN programs and being incorporated into both macro and massive MIMO antennas. And we've got production shipments that have occurred into numerous of those OEMs. So I would say adoption is pretty broad across the industry. And we're obviously very bullish about our technology. We've got a tremendous amount of products. I think last time I counted, we have over 200 products that are released in our GaN technology, covering a broad range of frequencies and markets and everything like that. We've been in GaN for well over 20 years and continue to focus on developing the technology and bringing new capabilities in and really focused on scale and cost. So I'm certainly very confident about where we stand with the technology and excited about all the markets that are adopting it going forward. So I think, long term, it's going to continue to be a great thing for IDP and for the company.
Raji Gill: For my follow-up, regarding RF content increases, last year, there was a significant increase from 4G. Wondering how you're thinking about the content increases this year as there are more 5G smartphones in the marketplace. So the upgrade cycle is still strong, but it's coming off a little bit of a higher base. So how do we think about the RF content gains and from a dollar perspective year-over-year, say, versus -- 2020 versus 2019? Thank you.
Eric Creviston: So at the -- I assume you're referring to the smartphone space, right, the mobile space, yes?
Raji Gill: Mobile, yes.
Eric Creviston: Yes. So in terms of 4G to 5G transition, no real change in the outlook. As Mark said, I think, or Bob at the beginning, we said across tiers anywhere from $5 to $7 worth of additional content when you pick a 4G phone and then make it 5G-capable. We think that's holding out this year as well. And so, the main difference is, you'll have another 250 million handsets or so layered on to the TAM versus what we had this year. But no change in the actual 5G adder that we're forecasting.
Operator: Our final question will come from Bill Peterson with JPMorgan.
Bill Peterson: Yes. Thanks for taking the question. Nice job on the quarterly execution and guide. First question for Eric in Mobile. You mentioned that you have the new dual transmit. I wonder how the design win pipeline is beyond this customer, how should we think about this being proliferated across the mobile ecosystem? And additionally, for Mobile, you've talked about antennaplexing, less spoken about Decawave today, but there's other drivers too in the business. I'm hoping you can help break these in terms of the opportunities you see as we look out through the year.
Eric Creviston: Right, right. So when we look at just the coming year, if you will, it's going to be highly leveraged towards BAW-based products. In particular, our R&D team is bringing us a fresh technology on a regular cadence now, we're taking that into highly differentiated discretes as we talked about with antennaplexers but then also those can help make multiplexers as well that sell not only in discrete but enable these highly integrated modules. So we're going to be focusing on places where we can take that BAW technology and leverage it into larger modules to a large extent. And then continuing to really leverage our franchise around the antenna, we are clear leaders at helping our customers manage their antenna networks, whether it's tuning or we've got impedance tuning, we have aperture tuning. We have the antennaplexing that we've talked about. And it's getting to be more and more of a problem for our customers as new GPS bands and new bands are added in C-band and CBRS spectrum and so forth. So there's a lot of work around that antenna, and we've got a lot of very unique capability to bring technology but also modeling and app support there. So these are large opportunities for us in the near-term, really leveraged on the complexity of 5G and our basket of technologies, which is broad and unequaled in a lot of ways. The UWB, we look at, is more of a driver in the next two years to three years, really, where it begins to get to the scale because we're starting very, very low now, of course, as an industry, and just beginning to take off. But no question in our mind, that's going to be a large driver. If you look out two to three years from now, it's going to be a big part of our business.
Bill Peterson: Thanks for that. And then secondly for James, and just apologies, it's somewhat of a multi-part question. But first, unpacking the near-term, you've called for, I guess, a flat guide. And I think earlier, you mentioned defense down and maybe weakness in infrastructure. So what's growing? Is it automotive and Wi-Fi? What's directionally growing? And then if we think about the full year or fiscal year, should we still think of the market environment as a 10% to 15% grower? And I guess within that, should we still think of GaN as outgrowing that trend based on what you're seeing as infrastructure and defense kind of returns to growth as we move through the year?
James Klein: Yes. Thanks, Bill. As far as current quarter we're in, a lot of strengths going to the quarter. Certainly, as Bob talked about, defense will be off a bit. But our Wi-Fi business is growing very nicely. Our Power Management business is also growing very nicely. And several of the other markets like our broadband business as well. So quite a few of the underlying markets driving the business. And if you kind of look history for the first three months of the year compared to those same three months of last year, we're up almost 47%, I think. And almost all of those underlying businesses are up double-digits. So we've got a lot of strengths. We ebb and flow a bit as we go for quarters -- through each quarter. But I would say, pretty significant strength in our Wi-Fi business as Wi-Fi 6 continues to roll out. As far as long-term, I'm still very confident of the underlying trends in the business, and we'll have some unevenness as we go quarter-to-quarter. But the things like the adoption of GaN and the proliferation of massive MIMO, the rollout of 5G and Wi-Fi 6, all those are great trends that I think will continue to allow the business to grow.
Operator: That will conclude today's question-and-answer session. I will now turn the conference over to management for any additional closing remarks.
Bob Bruggeworth: Thank you for joining us this evening. Qorvo will be presenting at multiple investor conferences in the coming weeks and we invite everyone to listen in. Thanks again, and have a good night.
Operator: That will conclude today's conference. Thank you for your participation. You may now disconnect.